Operator: Good afternoon, everyone, and thank you for participating in today's conference call to discuss Gaia Inc.'S Financial Results for the Fourth Quarter and Full Year Ended December 30, 2020. Joining us today are Gaia's CEO, Jirka Rysavy; and CFO, Paul Tarell. Following some prepared remarks, we'll open the call for your questions. And before we get started, however, I'd like to take a minute to read the Safe Harbor language. The following constitutes the safe harbor statement under the Private Securities Litigation Reform Act of 1995. The matters discussed today include forward-looking statements that involve numerous assumptions, risks and uncertainties. These include, but are not limited to, general business conditions, historical losses, competition, changing consumer preferences, subscriber costs and retention rates, acquisitions and other risks and uncertainties detailed from the time in our filings with the Securities and Exchange Commission, including our reports on Form 10-K and Form 10-Q. Gaia assumes no obligation to publicly update or revise any forward-looking statements. And with that, I'd now like to turn the floor over to Gaia's CEO, Jirka Rysavy. Please go ahead.
Jirka Rysavy: Thank you, and good afternoon, everyone. So we ended 2020 on a very positive note, achieving all our goals, generating positive net income and cash flow for the year while growing revenues over 20%. Revenue for the quarter increased 27% to $18.6 million. Our gross margin increased to 87.1%. We ended the quarter with 728,000 members, representing net adds of $31,000 for the quarter and $129,000 for the year. Even with this growth, we were actually able to reduce our overall expenses even in absolute dollars to $62.8 million from $64.8 million a year ago and as a percentage of revenue to 94% from 119%, partially due to improvement of our gross profit per employee by 37% to $525,000 from $384,000. During the fourth quarter, we generated net income of $300,000 or $0.02 per share, EBITDA of $3.5 million or 18.8% of revenue and cash flow from operation of $4.5 million on 24% of revenue. For the year, we have transitioned to a positive income of $0.5 million or $0.03 per share, which is an $18.7 million improvement from last year loss of $18.2 million or $1 a share. EBITDA improved by $15 million or 22% of revenue to a positive $7.4 million from a loss of $7.6 million. Our lifetime value of the average member also improved to over $320 from $300. Our cash position at the end of the year grew to $12.6 million, a reversing a year so the cash use to an increase to $1.1 million for the year and $3.9 million for the quarter. While these metrics represents all times best for Gaia since we sold the legacy Gaian-branded Yoga products in July 2016 and focus exclusively on building our direct-to-consumer digital offering. We have completed the -- I would call it, final phase of our transition to sustainable pure-play streaming video platform then is able to continue to grow revenue over 20% while growing profitably and growing positive cash flow. Since the sale of the Yoga products since 2016, we have grown revenue at 46% of compounded annual growth rate and members at 38% of CAGR. Same time is improving EBITDA margin from negative 9.0% in 2016 to positive 11% in 2020 and 19% in the fourth quarter. And Paul will now speak more to the results.
Paul Tarell: Revenues for 2020 increased 24% to $66.9 million, with an improvement in gross margins to 87.1%. Net revenues for the fourth quarter increased 27% to $18.6 million, with gross margins also improving to 87.1%. We expect to be able to maintain or gradually improve these margins going forward. We ended the year with 727,600 members, which represent net growth in line with our expectations for the quarter. For the year, we added 129,000 members and also across the threshold needed to continue to grow revenues 20-plus percent, while maintaining profitability and positive cash flows. Selling and operating expenses, excluding marketing and member acquisition costs, in the fourth quarter were $6.3 million or 34% of revenues, down from $6.7 million or 45% of revenues in the year-ago quarter. Corporate and G&A expenses in the fourth quarter were $1.4 million. For 2020, selling and operating expenses, excluding marketing and member acquisition costs, were $25.5 million or 38% of revenues a meaningful improvement in both absolute dollars and as a percentage of revenues from 2019, where we spent $28.2 million or 52% of revenues. Total member acquisition costs during the quarter were $8 million or 43% of revenues. As we anticipated, the digital advertising market became very competitive starting in October and continuing through mid-December. This impacted our CPA, but we were able to maintain our discipline and still achieved our financial goals for the quarter. In October, we began renewing our first cohorts of new annual members from 2019 when our annual take rate for new members shifted from sub-10% to between 25% and 30% of new sign ups. And I'm happy to report that with almost five months of data on the first renewals of these groups, we've been retaining these numbers at a 60-plus percent rate. EBITDA improved to $3.15 million or 19% of revenues in the quarter from $0.2 million or 1% of revenues in the year ago quarter. For 2020, EBITDA improved $15 million to $7.4 million or 11% of revenues from a negative $7.6 million or negative 14% of revenues, an improvement of almost 200%. And we also improved our cash flow from operations to $4.5 million during the quarter, up sequentially from the third quarter by $1.2 million or 36%. For the full year, we generated $11.7 million in cash flows from operations, a $14.3 million improvement from cash used in operations of $2.6 million a year ago. For the full year, we were able to generate $1.1 million in cash compared to cash used of $18.5 million in 2019. We generated net income of $0.3 million or $0.02 per share in the fourth quarter of 2020 compared to a net loss of $2.8 million or $0.15 per share in the year ago quarter. And for the year, we generated net income of $0.5 million or $0.03 per share compared to a net loss of $18.2 million or $1 per share in 2019. As Jirka mentioned, we have completed our transition to a pure-play streaming video-on-demand platform, capable of generating sustainable revenue growth of 20-plus percent, while maintaining profitability and generating cash going forward. We also own our content production facilities and have a world-class team of content creators devoted to our mission and vision that allows us to produce content internally for a fraction of the cost per hour that other streaming platforms are incurring. Our original productions represent 80% of our viewership on a monthly basis and clearly differentiate us from other offerings. As we look to 2021 and beyond, we are focused on continuing to build on the solid operational and financial foundation we have laid over the past five years. We have several initiatives that we believe will allow us to accelerate our revenue growth in 2022 and beyond including our premium live access offering, for which we now have a solid 2021 scheduled events booked. German, French and Spanish language expansion, including native language original content, and finally, our Gaia community, which we recently launched in an invite only beta program to our most engaged members. While these initiatives will take some time to pay off, we are very excited about what the future holds for DIA. And with that, I'd like to open up the call for questions. Greg?
Operator: [Operator Instructions] And first from Roth Capital Partners, we have Darren Aftahi.
Darren Aftahi: Congratulations on the transition and nice quarter. Can you maybe go a little deeper into some of these initiatives you mentioned, Paul, in your prepared remarks in terms of how that drives growth? And then two kind of derivative questions; one, as we start 2021, what are you seeing in terms of mix of new subs coming on an annual rate? And then on the marketing side, I'm just kind of curious, where are you guys seeing good traction other than the channel?
Paul Tarell: Sure. So the three initiatives that I outlined were, one was the premium lab access offering, which is for -- you probably remember, the $299 annual offering that we launched in 2019, but then due to COVID and our inability to have events during the majority of 2020, we didn't really push on that. But now that we're able to start having events, albeit with a smaller audience, we're starting to really focus on pushing that live access $299 premium subscription. So it will really be a revenue catalyst as we intend to build on both the archive of content that we've already filmed and then also having the events coming up and being able to convert members around those events. Second piece was the language expansion. So we launched German, French and Spanish from a site functionality perspective in roughly late 2018, early 2019. But then our focus to get to profitability and generating cash flow as we really paused further investment in German and French and really only built out Spanish. So now we're looking at building out German and French the same way that we did Spanish, so that should open up new market opportunities for us as we continue to build on the content library there. And then the final piece is the Gaia community. This is really a twofold value from our perspective. It increases engagement and stickiness with the platform with existing members, but it will also start to create further catalysts for the word-of-mouth marketing that we've talked about via our member driven growth channels historically. And so this is really the culmination of what we set out to do five years ago, which was really built a global community, not just a content platform. And so all three of those will start to contribute in the back half of 2021 and meaningfully hopefully contribute to 2022 and beyond.
Jirka Rysavy: There was a part also ask about annual take rate. That should -- it's about 25% to 30% of the new members.
Paul Tarell: Yes. It's been hanging in there pretty well. It just depends on what we're promoting in terms of content and messaging on whether people take the monthly or annual at that 25% to 30% range. And then the final pieces he asked where we were seeing traction from a marketing perspective. We're pretty much seeing it across the board. Everything is working pretty well for us. I would say the organic and member-driven and investor-driven referrals are continuing to build nicely. And with the community coming online, we expect that to be able to continue to build.
Darren Aftahi: And just want if I just squeeze one more in. As you think about growth and kind of reaching the profitability goals that you have, would you ever kind of dip in the EBITDA margins now to try and help accelerate growth? Or is it just kind of a steady balance between marketing spend and keeping the growth rate where you want to be?
Paul Tarell: Yes. I think the initiatives that I outlined there are really meant to be investing some of that free cash flow in ways that we don't have to necessarily keep flexing marketing dollars to drive growth. So from the perspective of how 2021 shapes up, it will look pretty similar to how Q4 played out in terms of just managing bottom line and cash flows while really trying to focus on top line revenue growth. At some point, though, the model really going to start to generate more earnings and cash flows, then you can reasonably continue to reinvest and so that will start to drive EBITDA margins higher. So to answer your question, would we dip into it? We have a plan that says we don't need to today to drive the initiatives that we're looking at. But that being said, if there's another market opportunity like what happened last spring, where we can add subscribers at a really efficient rate, the prudent business decision would be to say, go while you can't. But that's not how we're planning it.
Operator: Moving on from Lake Street Capital Markets, we have Mark Argento.
Mark Argento: Congrats on good quarter. I just wanted to get your thoughts or updated thoughts around with the channels that you have currently, how big of an addressable market do you think you have with that content or your current content? And maybe you could just suppose that maybe some of your competitors out there. I know curiosity screen has gone public and is out in the domain and is offering up a nice comp as well for you. But maybe you can talk a little bit about how you're thinking about the TAM, Sub tam for the portfolio as you see it today?
Jirka Rysavy: The addressable market, it's kind of if what we see is kind of confirmed what we were saying four years ago. We should not have a problem 2 million or 5 million, 10 million members, easy -- as a market potential, I mean, getting there a different story, how fast and all the stuff. But it's kind of -- I would say, it's probably somewhere of at 7% of the overall addressable streaming we can potentially go higher because it's increasing as the basic health and transformation growth. Our goal is to stay this pretty unique content rather than going in the market, let's say, of the Hulus and Netflix and stuff. I don't want to recommend on something like curiosity stream. They definitely have a different model as it is, as I would look. And it's more of a -- we really believe in the way how we do it and the negative working capital and a relatively good margin. So as we kind of go there, we have a room. We kind of glad how it went this year. We were kind of actually very positively surprised. What we kind of said two years ago is the transition to profitability. We kind of hit everything plus and so this year, we want to really look at expanding kind of two places, which is later in the year, we launched community and also using building kind of MBAs that are based professional sales organization. And so that will really affect the 2022 growth because we believe we can get to some higher growth rates starting from 2022.
Paul Tarell: Yes. And then in terms of how we think about the current channels, it's -- we're really looking at continuing to refine things at a lower granularity than just those top level channels because we understand from a consumer and an audience demand perspective, we have to be much more granular in how we market it. So it's really more about getting into topics and areas of interest rather than launching new channels and just continuing to refine how we make people aware of Gaia and then how we serve them as they become new members and ultimately become engaged sticky members over time?
Jirka Rysavy: Yes. Actually, first time is just negative working capital, we see that our cash flow is higher as a percentage than the earnings, which was always a go.
Mark Argento: Great. And then just one follow-up quick. In terms of the relationship between revenue growth and subscriber growth, I know you something you feel like you can maintain 20-plus percent revenue growth. What kind of sub growth do you need to maintain that revenue growth? I'm assuming it's something below 20%, but maybe you just talk about the relationship between the two, if you would.
Paul Tarell: Yes. So there's two drivers of the average revenue per user. One is the number of people that we can convert to the $299 million premium offering. And ideally, that is all upsells of existing members. So that's all incremental revenue with no marketing per se attributed to it. And then the second piece is for the -- roughly about 20% of our members that come through our third-party partnerships. Those are at net revenues, so they're less than our stated $11.99 a month. So those two things have offset pretty nicely for 2020, which got us revenue growth generally in line with subscriber growth. So I'd say going forward, that's how I would think about it from a mix perspective, knowing that members will be slightly behind revenue as we build out the live access premium offering.
Jirka Rysavy: But I think for 2021, the members, kind of pretty much what Paul said. It's -- since we increased the prices two years ago, we have More bump to revenues than going forward. So
Operator: [Operator Instructions] We'll move on to Steven Frankel with Colliers.
Steven Frankel: I think I missed the reported CPA for the quarter. So maybe you could just start there.
Paul Tarell: It was not included in my prepared remarks this time, Steve, but it was -- as I mentioned, we had some headwinds in the advertising market, so it was roughly in the low 80s for Q4.
Steven Frankel: Okay. And post election, has that advertising market change materially? Or are you still seeing those kind of rates today?
Paul Tarell: So I think it was not a factor of the election. That's what made it start sooner in Q4. It was really a function of the amount of spend trying to capture buyer demand going into the holiday season. So we saw that elevated rates go pretty much all the way up until the shipping deadline right before Christmas, before it dissipated. And it has been tending to go back to the historical rates, but not nearly as good as it was in Q2 and Q3 of 2020. So my expectation is that we'll settle somewhere in the at $65 to $75 range on a normalized basis going forward, and we're in line with that right now?
Jirka Rysavy: Yes. I think we have in -- especially April, May, then there was kind of the have it surprised for the market a little bit. So a lot of advertisers pull back because they were quite how to respond. The opposite was before Christmas then everybody kind of maybe because they have a budget left from second third quarter to try to spend it for Christmas. But I would kind of overall say, if you look year ago and during the year as a balance and next year, it's kind of stable. So it's more like what -- how much we want to spend. And also, we have -- as our -- as I mentioned, lifetime value, keep growing, rhetorically have more room, but we so far didn't have to use it. You kind of see that our overall marketing as a percentage of revenue dropped dramatically from 100-plus to 56 and now kind of low 40s. So I think there's definitely the market, I would say, it's relatively stable. It's up to us how we strategically want to gain.
Steven Frankel: Okay. And on the international front, what percent of your -- is your installed base today on international? And is there consumption in line with domestic subscribers? Or do you need to flesh out more content to kind of get equivalent consumption rates?
Jirka Rysavy: So the international members right now are kind of, let's call it, low 30%. It depends how -- if you're kind of talking overall users around the world. So we kind of look at it on that basis, but also how many people use, like other languages primarily because there's definitely some people who, let's say, Germany, they're subscribers before we get German offering in German, right? So we're separating those two. The usage, like, for example, usage and the kind of what we call attention, it's about same in Germany that would be in the U.S, if you kind of look Spanish, it's very different. If you look at Spanish speaking, European like Spain compared to like Argentina. So it's very, very different. So I think you have to then look by country rather than the language. So the answer will be much more complex if we try to average stuff. But generally, people countries, they have more developed the kind of credit card markets and get used to it. The numbers ever similar once you go to South America, things get more complex.
Steven Frankel: The payment mechanisms there in the future?
Paul Tarell: Yes. So that's one of the reasons that we swapped out in 2019, our homegrown billing and transaction processing engine into an enterprise-grade solution so that we can start to onboard these new partners from a payment perspective as we expand geographically. So that's one of the areas that we'll be looking to expand on in 2021, getting more geographically relevant payment options now that the infrastructure is in place to be able to support that.
Operator: Ladies and gentlemen, that does conclude our question-and-answer session portion of the call. I'd now like to turn the call back to Mr. Rysavy for any additional or closing remarks.
Jirka Rysavy: Well, thank you, and thanks, everyone, for joining, and we look forward to speak with you when we will report the first quarter of this year, which should be in early May. Thank you very much.
Operator: All right. Once again, ladies and gentlemen, that does conclude our call today is for today's teleconference. You may disconnect your lines at this time. We do appreciate your participation.